Operator: Good morning, and welcome to ALFA's Fourth Quarter and Year End 2022 Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session with instructions given at that time. However, you may submit questions at anytime today using the Q&A section on the webcast. As a reminder, today's conference call is being recorded. Now I would like to turn the call over to Mr. Hernan Lozano, Vice President of Investor Relations. Thank you. You may begin.
Hernan Lozano: Thank you, Rob. Good afternoon, everyone, and welcome to ALFA's conference call. Further details about our financial results can be found in our press release, which was distributed yesterday afternoon together with a summarized presentation. Additionally, this morning we released our 2023 guidance. All are available on our website in the Investor Relations section. Let me remind you that during this call, we will share forward-looking information and statements, which are based on variables and assumptions that are uncertain at this time. It is my pleasure to participate in today's call together with Eduardo Escalante, ALFA's CFO; Carlos Jimenez, ALFA's General Counsel; Roberto Olivares, Sigma's CFO; and representatives from each ALFA company. Before moving on, just a quick reminder that as a result of the approved spin-off, Axtel meets the definition of a discontinued operation in accordance with IFRS since the third quarter 2022. Unless otherwise specified, all consolidated figures referenced in this call exclude Axtel. I will now turn the call over to Eduardo.
Eduardo Escalante: Thank you, Hernan, and good morning everyone. We greatly appreciate your participation today. 2022 was another very strong year for ALFA with a unique combination of solid financial performance and transformational progress. We delivered record sales and EBITDA, simplified further our corporate structure, return capital to shareholders and our businesses invested in future growth while maintaining financial flexibility. We also continue to leave our commitment to ESG advancing on formal performance targets and improving our ratings. Annual consolidated sales were $18.1 billion and EBITDA increased 13% to $2.1 billion boosted by Alpek. Throughout the year, Alpek successfully capitalized on external tailwinds, an integrated transformational acquisition reaching historically high volume, revenue and EBITDA. The fourth quarter, however, mark a shift after an extended period of favorable dynamics in the global petrochemical industry. Average Brent oil prices declined during the second half of the year; reference ocean freight rates dropped quarter-on-quarter; and Asian polyester margins were below $400 per ton for the first time since 3Q 2021. As a result, consolidated fourth quarter EBITDA was below our expectations, totaling $346 million. This figure includes a negative impact of $84 million from extraordinary items at Alpek related to the effects of lower petrochemical feedstock prices. Adjusting for extraordinary items, 4Q 2022 comparable EBITDA was down 13% year-over-year, resulting from declines at Alpek and Sigma. Alpek was negatively impacted by lower polypropylene and PET margins at the close of the year, while Sigma continued to face significant inflationary pressures in Europe. I will now turn the call over to Roberto Olivares, Sigma's CFO, to let him elaborate on the company's result and progress on strategic initiatives. Please, Roberto.
Roberto Olivares: Thank you, Eduardo, and good morning everyone. On the business front, I'll begin with an update on quarterly and full year financial results, followed by an overview of the actions we have taken to mitigate inflationary pressures as well as a couple of noteworthy strategic initiatives. And lastly, I will comment on 2023 guidance. Consolidated revenues reached a record of $1.96 billion, up 11% versus 4Q 2021, driven by pricing actions in response to raw material cost increases. Volume in the Americas grew by 4%, while the lower figure in Europe was explained by operational adjustments in our fresh meat business in response to market conditions. In contrast, consolidated EBITDA was $167 million, down 17% from initial high levels in 4Q 2021. Our team delivered a better than expected performance in the Americas through efficient revenue management and cost optimization initiatives aimed at mitigating higher raw material prices. Nonetheless, these results were more than offset by the EBITDA decline in Europe, despite the double digit price increases. Due to continued inflationary pressures and the lower contribution from Fresh Meats. European EBITDA was further impacted by the 11% depreciation of the Euro versus the dollar. Full year revenues reached a record of $7.4 billion, 9% higher year-on-year driven by double digit growth in the Americas. Meanwhile, full year EBITDA was $652 million, down 12% versus 2021 due to the greater than expected impact in Europe, which offset the positive performance in the Americas. As I did in the previous earnings call, let me take a moment to highlight efficiency initiatives carried out across all regions. This include those of Fuel, our companywide program in our resetting cost basis, leverage our global scale, reducing cost structured complexity, and improving procuring practices. During 2022 Fuel’s initiatives resulted in $41 million in savings and cost avoidance. Additionally, we continue to implement initiatives to enhance profitability in Europe. For example, during the quarter, we further streamlined our footprint in Spain, transferring production lines from our plant in Olvega to the rebuild plant in Burgos. Consolidating these operations is expected to increase capacity utilization and improve overall efficiency in this region. On the sustainability front, I would like to mention that during 2022, our circular economy initiatives resulted in the avoidance of 1,360 tons of virgin plastic reaching more than 7,880 tons avoided since 2018. Furthermore, for the second year in a row, we surpassed our accident rate reduction target by 23% more than three years prior to our commitment date. Moving on to our 2023 guidance, we forecast revenues of $8.1 billion and an EBITDA of $705 million, considering relatively stable foreign exchange rates year-over-year. In addition, 2023 EBITDA guidance includes the $26 million OpEx investment in our growth business unit as initiatives advanced from exploratory to piloting phases. Keep in mind that these figures includes the operations in Belgium and the Netherlands, and this will be revised upon completion of the transaction. Looking ahead to 2023, we have many reasons to be optimistic and expect a stronger year amid the lower inflationary cost pressures, particularly in Europe. At the same time, our actions are aimed at maintaining consumer preference, reinforcing partnerships with clients and suppliers, and advancing your own sustainability journey. Together we will overcome challenges and continue our paths towards sustained long-term growth. Thank you for your attention. I will now turn the call back to Eduardo for additional comments and closing remarks.
Eduardo Escalante: Thank you, Roberto. On the strategic front, we are very proud of Alfa profound transformation since we announced a gradual and orderly process to unlock the company's extraordinary value potential. Looking back, Nemak was successfully a spinoff. Corporate expenses have significantly decreased. Sigma formed a world-class advisory board, and we are in an advanced stage to a spin off Axtel. Importantly, we have a strengthened our financial position and maintained our investment grade ratings throughout this journey. With respect to the Axtel spinoff, we are actively engaged with the Mexican Securities and Banking Commission, as well as other relevant parties to finalize this important milestone as soon as possible. Even though Axtel is now presented as a discontinued operation in Alfa’s consolidated financial statements, I would like to highlight Axtel's sequential EBITDA recovery since 1Q 2022, solid cash generation and recent liability management efforts. Another important advancement in Alfa’s transformation is expense reduction at the corporate level. Close coordination between the subsidiaries and the powering company have resulted in a 30% decrease in Alfa’s headcount and a 65% decline in corporate expenses since 2019, which is the year before we began our transformational process.  We are following a disciplined and balanced approach towards capital allocation. Combining strategic investments with the continued transfer of value to shareholders and reducing leverage, these priorities are highlighted by our actions in 2022. First, our businesses deploy $1.1 billion in capital expenditures to support growth organically and through acquisitions. Second, Alfa shareholders benefited from cash dividends and share repurchases totaling $256 million, which represent an aggregate yield of 7.5%. And third, corporate level net debt decreased by $66 million versus year-end 2021. Our consolidated net debt-to-EBITDA ratio was 2.3 times at the close of the fourth quarter comprised of 1.3 times ratio at Alpek and a 2.7 times ratio at Sigma. These are important metrics for us as each businesses individual leverage and underlying ability to generate strongly with data is crucial for the future phases of Alfa’s unlocking value process. Let me switch topics to the succession process announced recently by Alpek, as many of you know, Pepe Valdez, Alpek CEO will transition to a new role on March 1 as senior advisor at Alfa. Following a remarkable 46 year tenure, his vision and drive resulted in multiple transformational acquisitions and long lasting strategic partnerships that boosted Alpek’s position in the global petrochemical industry. We are all extremely grateful for purpose, invaluable legacy, and excited that Alpha will continue to benefit from his extensive business experience. Jorge Young has been appointed CEO by Alpek’s Board of Directors, also effective on March 1. During his 32 years at Alpek, Jorge has served in many key roles across the polyester segment. He is currently the President of Alpek Polyester, a business that contributes 66% of Alpek’s revenues. We look forward to Jorge's leadership to continue building upon the many opportunities ahead. It is important to note that two of our subsidiaries implemented CEO level successions during 2022. We were thrilled to see that the Boards of Directors of both Alpek and Axtel appointed their new chief executives to internal promotions. This underlines the most valuable asset we have in our organization, an extraordinary talent pool. Moving next for a brief update on our progress related to ESG, I would like to take a moment to discuss a very important social initiative, ALFA Fundación. This program focuses on promoting social mobility through education. Our team works closely with public schools in Monterey, Mexico to identify talented students and help them develop their full potential through junior high school and college. We celebrate that ALFA Fundación completed its first nine year educational support cycle as 47 outstanding students obtained college degrees in Mexico and abroad. For reference, almost 2,000 students were enrolled during the 2021-2022 school year, and more than 5,200 have benefited from this initiative since our first after school support center, began operations in 2013. On a more comprehensive standpoint, Alfa increase its ESG score at the S&P Global Corporate Sustainability Assessment for the third year in a row and remain about industry average for conglomerates. Additionally, scores from CDP and MSCI improve year-over-year as we continue to incorporate best practices into the way we do business and contribute towards creating a more sustainable future. You can learn about our ESG efforts in our 2022 annual report to be released at the upcoming shareholder assembly. Let me close with a brief overview of our guidance for full year 2023. The past year was an exceptional one for Alfa and especially for Alpek, following two years of extraordinary tailwinds, Alpek phases a return to more normalized conditions, including lower reference margins and ocean freight rate. In contrast, Sigma expects to benefit from the moderation of energy costs and other inflationary pressures in Europe, as well as pricing actions and cost saving initiatives already implemented. On the macro front, we expect as lower GDP growth in Mexico, the U.S. and Europe. Crude oil prices are expected to moderate, but still be at high levels. Reflecting these key macro variables and the individual driving factors at Alpek and Sigma, consolidated revenue is expected to be $17.4 billion, 4% lower than Alfa’s record 2022 level. EBITDA is projected at $1.6 billion adjusting for the net extraordinary gain of $60 million in 2022, comparable EBITDA is expected to decrease 20% year-over-year, primarily reflecting the high comparative level at Alpek. Total CapEx of $732 million represents a 34% decrease versus 2022, which was boosted by Alpek’s Polyester business acquisition. In closing, I want to thank every Alfa team member for their crucial role in achieving these good results by capitalizing on favorable conditions, navigating a complex environment, and driving our transformational efforts. We entered 2023 well-positioned to continue delivering on our key objectives. This conclude my remarks. We are now available to take your questions. Please Hernan.
Hernan Lozano: Sure. We would like to begin the Q&A session with questions on Alfa. Eduardo, Carlos and I will take questions on Alfa or corporate matters. As a reminder, Sigma, Alpek and Axtel will be available to answer individual questions later in the Q&A session. Rob, please instruct participants to queue for questions on Alfa.
Operator: At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Nikolaj Lippmann with Morgan Stanley. Please proceed with your question.
Nikolaj Lippmann: Hi, thank you very much for taking my question. I was wondering if you can discuss the decision to payout dividends from the Alfa level vis-à-vis the potential value that is being – not being executed in – shown in the market to the – just the number of the value of your current stake in Alpek is similar to your value in – of Alfa. So it looks like there’s a significant discrepancy. So if you continue to discuss the dividend versus the potential share appreciation, how you sort of weigh the two. So that’s number one. And number two, where do we stand in terms of the collapse of the holding into Sigma? And what are some of the milestones that rather that you’re looking for over the next year or two as you think about that? Thank you very much.
Eduardo Escalante: Sure. Thanks, Nikolaj for your question. Let me begin by mentioning what do we see for dividends going into 2023 to have a little bit of context. We do expect to continue paying dividends to shareholders and that is part of a balance approach that we have been following and continue to follow. We think a combination of dividends plus buybacks plus a net reduction at the holding level is the best way to go forward until we are in a position to move ahead with the next phases of the transformational process of Alfa after we finish the spinoff of Axtel. And let me give you a picture of the way we saw 2022 and I think that will drive towards what we think may happen in 2023. In 2022, the holding company received from Alpek and Sigma roughly $450 million in dividends during the year. Out of that, after we cover interest and corporate expenses and taxes and some other items, the capital allocation that remain available at the holding company was about $320 million. We decided to use those $320 million, again, on a balanced approach between dividends, we paid $196 million dividends. We did $60 million in buybacks last year, pretty much taking advantage opportunistically of the low price of the shares. And we also reduce the data, the holding company in about $66 million. So, all in all, we try to take advantage of the opportunities in terms of buybacks and also move towards debt reduction, and at the same time, continue paying dividends at the holding company. We feel the payment of the dividends and is part of the value transfer that we should continue doing to our shareholders together, in particular until we reach a stage where we are ready to move forward with the next phases of the restructuring of Alfa, which certainly we do need to reduce not only the data, the holding company, but also we need for Sigma to improve the results and get a more healthy balance sheet in order to move forward with any movement with Alpek and Sigma.
Nikolaj Lippmann: Thank you.
Hernan Lozano: You’re welcome.
Operator: Our next question comes from Rodolfo Ramos with Bradesco BBI. Please proceed with your question.
Rodolfo Ramos: Just a follow-up, for the Axtel spinoff, when do you expect us to finally close, and then I missed your last comment on the – going forward, as we look out to the next steps in your unlocking value initiative. What are the next steps that you’ll be looking to complete? I mean, it’s clear that EBITDA at the Sigma level needs to become more normalized, but just wanted to get a sense of what timeframe we are looking at here. Thank you.
Hernan Lozano: Thank you, Rodolfo, for your question. I’m going to ask Carlos Jimenez Alfa’s General Counsel to comment on Axtel’s spinoff. Please, Carlos.
Carlos Jimenez: Rodolfo, good morning and good morning to everyone. Regarding the completion of the process to spinoff Axtel, we have continue diligently working with the CNBV and the Bolsa Mexicana de Valores, and we believe that we’re going to be ready to complete the process by next month. So within this quarter the first quarter of 2023 we estimate that the process will be fully completed.
Hernan Lozano: Thank you, Carlos. And Eduardo, could you take the next question on next steps for unlocking value and timing related to EBITDA recovery in Sigma?
Eduardo Escalante: Sure. Thank you. Thank you, Hernan. And thanks Rodolfo for the follow-up question. The next important milestone is finalizing the Axtel spinoff. We are very focused on that at this time. After the spinoff is completed, we do have timing flexibility. We do not have a specific timeframe to move forward with the next phases of unlocking value. And the reason for that is, we plan to do an orderly process, which is we feel is key for maintaining investment grade ratings at both at Sigma and Alpek, as well as at the parent company. So we want to be extremely careful, what we do and when we do it. Adequate leverage ratios at Alfa, Alpek and Sigma are a key condition in order to be able to move forward. Now, in the meantime, we will continue focus on ensuring and orderly process in each one of the businesses. In the case of Alpek, we will continue trying to maximize profitability. Sigma, which you mentioned in your question, we are working towards and trying to accelerate the recovery in order to improve leverage and strengthen the financial flexibility via higher EBITDA in Sigma, which should allow us to move forward. But again, we do not have a specific timeframe to continue with the process.
Rodolfo Ramos: Thank you.
Operator: Our next question comes from Alejandro Azar with GBM. Please proceed with your question.
Alejandro Azar: Hi. Good morning, Eduardo and Hernan. It’s a follow up on the holding debt. That should be north to $1.1 billion, $1.2 billion. But my question is it seems that Alpek will not pay external dividends in 2024, at least from the conference call that that they just did at 9:00 AM. How – according to your numbers, Alfa will generate at the holding level approximately $200 million, $300 million before paying dividends that would take four years to eliminate entirely the net debt. Is only dividend the way to go here, or are we still having some divestments at subsidiary, or maybe at the holding level? What can you say about that? Thank you.
Eduardo Escalante: Sure, Alejandro and thanks for the question. Certainly, we are looking at other sources of funds in order to reduce the debt at the holding company in addition to the dividends that we receive from Alpek and Sigma. We have mentioned before, and we continue in the process trying to sell the land we have here in Monterrey at the corporate offices within there is significant value there that we can capture. Of course, that depends on how the market for land evolves here in Monterrey. But that’s an opportunity. And we are also looking at some other opportunities in order to divest some non-strategic assets in order to be able to accelerate this process. At this time we have nothing to discuss or to announce, but that’s an alternative, certainly in order to be able to accelerate the reduction of the debt at the holding company.
Alejandro Azar: And one more, if I may, Eduardo on dividends. Dividends in the past five years have been very volatile, and dependent on how the business Alpek and Sigma performed believing that, that, or seeing the guidance of Alpek, should we expect that Alfa’s dividend of $200 million is been – it's reduced in 2023.
Eduardo Escalante: Thanks. Alejandro, I would say it is early to mention a figure. What I can tell you is that Alfa’s score will determine the dividend for this year and will make a proposal to be presented in Alfa’s shareholders meeting, which will be held on March 9th of this year. We haven't – it has not been defined at this time. We certainly by that date will have something, of course, the Alfa board will consider flexibility and they realize this year with the uncertainty that we have on the results they will probably try to keep some flexibility on the amount of timing and the, of the proposed dividend, but it's too early to give you a figure.
Alejandro Azar: Great. Thank you very much.
Operator: There are no further audio questions in the queue.
Hernan Lozano: Thank you, Rob. Let me now move on to a couple of questions that we're getting from our webcast. I believe that most of them have been covered in the previous section, but there's still one that asks about our balance of net debt at the holding company level and the amount of dividends received in 2022. Could you comment on that Eduardo please?
Eduardo Escalante: Sure, sure, Hernan. The net debt at Alfa Corporate at the end of last year was $1.142 billion [ph] at the closing of the previous year 2021, it was $1.2 billion. All in all the net debt reduction was $66 million. And the dividends that we received in at the holding company last year were $150 million from Sigma, and $304 million from Alpek. So all in all is it was $454 million.
Hernan Lozano: Thank you. And the next question is, what needs to happen to see, or what are the variables that, that could move in favor of the unlocking value process to see a bull case and Alfa concluding this process faster?
Eduardo Escalante: Sure. I would say there are three angles to that question. One is Sigma's recovery in terms of results in order, as I mentioned before to gain flexibility to move forward with a stronger Sigma’s balance sheet. The other one is an improvement on Alpek’s results from the guidance that they provided this year. Certainly better result in Alpek will put them in a position to increase their dividends going forward and help us at the holding company. And finally, the other one that we have discussed asset monetization of some non-strategic assets, which is also on the table. I would say those three factors are on the cards in order to be able to accelerate the unlocking value process.
Hernan Lozano: And we have one last question from our webcast, which relates to the fact that Monterrey is becoming a key hub in Nearshoring, and whether we have considered a partnering with a developer for the real estate where our current where we – where our headquarters are at right now.
Eduardo Escalante: Yes, certainly that's one of the alternatives that we have been working on.
Hernan Lozano: And I believe that is our final question from Alfa and the webcast. So with that, we will then take questions on Sigma. Roberto Olivares, Sigma’s CFO will answer your questions. Rob, could you please prompt for questions on Sigma?
Operator: Sure. [Operator Instructions] Our first question comes from Rodolfo Ramos with Bradesco BBI. Please proceed with your question.
Rodolfo Ramos: Thank you for taking my question. I have a couple here on Mexico and Europe. On Mexico, can you talk about the labor wage pressures that we are starting to see this year, the vacation they increase, the higher pension contributions just to see how are you expecting that to impact margins? And on Mexico as well, what kind of pricing actions you're expecting this year? We saw consumers more than willing to take price increases last year, but perhaps this year might be more challenging. So, that would be my first question on Mexico.
Roberto Olivares: Hi, Rodolfo. Thank you for your question. So, let me start with the second one regarding pricing actions. We do expect to continue mitigating the effects of cost or inflationary pressures in all of the regions including Mexico. We expect to – given the current situations that we have in particular raw materials, we do expect to pass some price increases during this year. As you mentioned last year, we were able to increase prices actually if you see prices in 4Q 2022 versus 4Q 2021. We increased prices close to 11%. And volume was resilient. Volume actually increased 3% in Mexico. So given that history, and the position that we have in our brands, we believe we will be able to do so. Just also I want to reiterate the message that we're not only looking at price increases to offset the cost pressures as I mentioned in my initial remarks, we're working a lot on cost and expense saving initiatives in order to protect our brands and to be very targeted with those price increases and be able to protect also volume. And in regards to your first question regarding the pressures particularly on labor wage and the higher pension et cetera, I will say as this is happening to the whole industry and not only us, but this contribute to the general inflation in Mexico. We're taking that into consideration to interactions to mitigate or to protect our margin. So we already account for that in our guidance and in our plan for this year. So we do not expect any significant impact coming from that.
Rodolfo Ramos: Thank you. And just last one on Europe. I don't know if you can give us the breakdown of your targeted margin for this year and if you – how much you expect the resumption of fresh pork meat to contribute?
Roberto Olivares: Sure. So in regards to 2023 and again, let me split the business into the packaged meats and the fresh pork meat business. In regards to packaged meat, we expect volume to be solid to have a growth, but also additional price increases in response to the higher meat and labor cost that we're still seeing on the positive side utilities as Eduardo mentioned, are more favorable right now. So we do expect to have less pressure from that. In regards to the fresh pork meat business, in this case, we expect lower volumes because of the operational adjustments to account for the market conditions. We will focus on serving the most profitable regions. As I also – as we explained in our earnings release, we already recovered the license to export to China, so that will help on profitability. We do expect to have a better result in the fresh pork meat business this year. Due to that, but the current market conditions between the price of the light peak and the price of the cuts are putting some pressure on margins in this particular business.
Rodolfo Ramos: Thank you.
Roberto Olivares: Thank you, Rod.
Operator: There are no further audio questions in the queue at this time.
Hernan Lozano: Thank you, Rod. We do have a couple of questions from our webcast. So Roberto, if you could please comment on CapEx breakdown by region. It's one of the topics that I don't believe you've covered before.
Roberto Olivares: Okay. Thank you, Hernan. So out of the $250 million of CapEx investment in 2022, around 45% are invested in Mexico – were invested in Mexico, around 30% in Europe, around 15% in the U.S. and the balance will be in Latin America. And out of that around 30% is strategic and the rest will be maintenance CapEx.
Hernan Lozano: Thank you. And the next topic would be related to volume breakdown by regions. What can you discuss about the outlook for volume across a different region?
Roberto Olivares: So we expect to continue growing in volume in the processed meat business or in the core business in all of the regions. In most of the regions, we expect between low- to mid-single-digit growth. Again the only part of the business where we don't – do not expect the volume increase is in the fresh meat business and this is again part of the strategy that we're – that we're taking to maintain or defend part of the margin of the business.
Hernan Lozano: That's great. And finally related to Europe, when do you believe is the turnaround point regarding Europe's profitability?
Roberto Olivares: Sure. So first let me just say that a vast portion of the EBITDA growth in the 2023 guidance come from Europe. And what we will continue to see further positive performance in Americas, and keep in mind that that the conflict in Europe is still evolving, so we are – we're taking a cautious approach on this. I think we're in the right path to reach a pre-conflict number in the following years. Once, I would say once the conflict continues or results, it will put us in a way better position to continue our path to the target that we have.
Hernan Lozano: Thank you, Roberto. And that's it about Sigma. So let's now move forward and take questions on Alpek and Axtel. We have Jose Carlos Pons, Alpek's CFO and Adrian de los Santos, Axtel's CFO. So Rob, could you please prompt for questions on Alpek and Axtel?
Operator: Absolutely. [Operator Instructions] There seems to be no audio questions at this time. Excuse me. Someone jumped into the queue. My apologies.
Eduardo Escalante: Okay, no problem.
Operator: Okay. We do have a question from Alejandro Azar with GBM. Please proceed with your question.
Alejandro Azar: Hi guys. This is for Alpek, and if we could just go over the free cash flow, because it seems that working capital this year, 2023 mostly positive for you guys to generate north of $300 million, $400 million. Can we just go over that, please?
Eduardo Escalante: Of course. Thank you for your question,
Alejandro Azar: Carlos, and my second one would be because I’m trying to look at how many fire power you will have to pay dividends ordinary or extraordinary stuff?
Carlos Jimenez: Okay. Thank you. I’ll try to do my best to answer your question. See regarding free cash flow, well, first of all, you need to consider EBITDA, which is $920 [ph] million for our guidance, we’re expecting working capital recovery in the order of $120 million of recovery could be a little bit more, but that’s our base case at the moment. Taxes and interest will be around a $100 million each. So that would take you to around probably sorry, yes, $400 – considering already the CapEx that we announced. So definitely we will have opportunity to pay out dividends or continue looking for opportunities if of course that makes sense for shareholders. As Eduardo indicated, we’re also expecting to have a shareholders assembly in the next following days. We will announce there and propose a dividend. We’re not expecting to have something different to what historically we have paid. So that’s more or less what we would like to propose at the moment. There will be potentially opportunity for extraordinary dividend. Well, we’ll see depending on the performance of the company.
Alejandro Azar: Thanks, Carlos.
Carlos Jimenez: My pleasure.
Operator: There are no further audio questions in the queue. Are there any web questions?
Hernan Lozano: Yes. Thank you, Rob. So, we have several questions for Axtel. And Adrian, could you please comment on the following topics? The first one would be the terms of the bank loans that were recently announced.
Adrian de los Santos: Yes, Hernan, the bank loan that, that we mentioned this morning it’s a $100 million five-year term loan. It’s a variable rate loan. And margins will depend on net leverage ratio. The applicable margin will go, will range from 2 to 3.5, 3.75, depending on what’s the applicable net debt. And that’s similar to what we see in the market today for Axtel with commercial banks in general. So follow-up on that if we are successful, if we were to refinance the senior notes entirely, the outstanding $314 million, that would increase the cost of debt of Axtel from approximately 8.1% today up 1% to 1.5%. So it will go to 9%, 9.5% depending exactly on how the interest rate curve moves in the following month.
Hernan Lozano: Thank you. The next question is related to EBITDA outlook. So how much would EBITDA grow in 2023?
Adrian de los Santos: Yes, EBITDA will grow 10%. That’s our guidance for 2023. It will come from strong performance in government segment a recovery in Axnet. And also in the enterprise segment will the, the digital transformation services will grow double digit compensating decline in other lines of service like voice, which we expect a single digit decline in the year.
Hernan Lozano: Thank you Adrian. And that’s all the topics we have from the webcast for Axtel and the rest of the businesses. So with that, I would like to thank everyone for their interest in Alfa, and if you have any additional questions, please feel free to reach out to us. We would be pleased to assist you. We also extend our best wishes to you and your families to stay safe and healthy. Thank you very much for joining us today, and have a great day.
Operator: This concludes today’s conference. You may disconnect your lines at this time. And we thank you for your participation.